Operator: Good afternoon, and welcome to SoundThinking's Second Quarter 2025 Earnings Conference Call. My name is Diego, and I will be your operator for today's call. Joining us are SoundThinking's CEO, Ralph Clark; and CFO, Alan Stewart. Please note that certain information discussed on the call today will include forward-looking statements for our future events and SoundThinking's business strategy and future financial and operating performance. These forward-looking statements are only predictions and are subject to risks, uncertainties and assumptions that are difficult to predict and may cause actual results to differ materially from those stated or implied by those statements. These risks, uncertainties and assumptions are discussed in SoundThinking's SEC filings, including its most recent annual report on Form 10-K and other SEC filings. These forward-looking statements reflect management's beliefs, estimates and predictions as of the date of this live broadcast, August 12, 2025, and SoundThinking undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances after the date of this call. In addition, our comments on the call today contain references to non-GAAP financial measures, such as adjusted EBITDA and key business metrics such as annual recurring revenue. Non-GAAP measures should be viewed in addition to and not as an alternative for the company's reported GAAP results. A reconciliation of these non-GAAP measures to their most directly comparable GAAP measures as well as definitions of the key business metrics referenced and management's reasons for including the non-GAAP measures and key business metrics referenced may be found in the press release. Finally, I would like to remind everyone that this call will be recorded and made available for replay via a link available in the Investor Relations section of the company's website at ir.soundthinking.com. With that, I'll now turn the call over to Ralph.
Ralph A. Clark: Good afternoon, and thank you for joining SoundThinking's Q2 2025 Earnings Call. I'll start by providing some high-level commentary on our financial results and then share exciting updates about our strategic investment and growth initiatives. We're pleased to report a solid Q2 marked by continued progress on our transformation into a broader public safety technology company. Our early strategic investments in technology, innovation, talent and market positioning are yielding results. We remain focused on building sustainable growth, operational execution and delivering measurable impact for our company, our customers and communities. Our second quarter revenues were in line with our expectations at $25.9 million, representing a sequential decline from the boosted Q1 of this year. During the second quarter, we took ShotSpotter live in four new cities including New Orleans; Methuen, Massachusetts; Victorville, California; and Niteroi, Brazil, along with expanding in four additional cities and adding one new security deployment. And while GAAP revenue met expectations this quarter, our bookings did fall short of our internal targets for the quarter, primarily due to the timing of a few large deals, including a significant $2.5 million CrimeTracer transaction and a 400-unit PlateRanger transaction that was pushed into Q3. That said, we were pleased to close a marquee 20-lane SafePointe transaction, combined with ShotSpotter SecureCampus that was sold to a historically black college university. We have a healthy diversified pipeline of over $37 million for the remainder of 2025, which continues to grow beyond domestic ShotSpotter, targeted toward traditional law enforcement customers. In fact, because of the recent tragic Midtown New York City shooting, we were approached by a major financial institution to provide a ShotSpotter SecureCampus deployment. It was very important to them to work with a best-in-class acoustic gunshot detection system used and positively referenced by NYPD. We have taken this opportunity to propose adding a perimeter-based sniper solution that we're in the process of perfecting for the utility substation market in early Q1 2026. The result will be a hybrid wide-area acoustic gunshot detection solution, providing a dome of protection of several blocks beyond the headquarters location, combined with a perimeter-based solution which can detect and alert on inbound sniper fire directed at specific ingress, egress points at the building. This effectively will be providing the best of both worlds. We believe this corporate security opportunity, along with the critical infrastructure opportunity represented by utility substations, embassies and forward operating bases are a significant growth in TAM extension for our demonstrated capability in gunshot detection. Our overall customer attrition is outperforming expectations, underscoring the effectiveness of our retention initiatives and the value our solutions deliver to our customers. However, our renewal in Puerto Rico still merits close attention due to a new and unexpected requirement to issue a formal RFP in lieu of a standard contract extension that had enjoyed strong support from the new incoming administration. Puerto Rico committed to and is in the process of issuing an interim extension to continue the ShotSpotter service through the RFP process, but bureaucratic delays prevented us from securing the interim extension prior to the June 30 contract extension date. This unfortunately has forced us to suspend service and revenue recognition until we can get the formal contract extension in place. On the innovation and integration front, we've made solid progress partnering with several drone providers as we enable a unique drone-as-first-responder capability in response to ShotSpotter alerts. The integration ensures that drones can be automatically dispatched to the exact location of a gunfire incident, delivering real-time aerial intelligence to officers on the ground such as identifying victims who would need an EMS intervention along with providing valuable situational awareness to arriving officers. The combination of ShotSpotter in drones extends the value of ShotSpotter by delivering a powerful use case demanded by forward leaning law enforcement agencies. Additionally, we have recently completed an integration between our PlateRanger LPR solution and CrimeTracer, our industry- leading investigative solution. Now any license plate or vehicle information associated with a crime can be automatically passed to CrimeTracer that will initiate an agentic search across the largest CJIS database in the country to associate that vehicle with people, addresses and past crimes. It's a huge step forward for the investigators to be able to quickly get actionable intelligence from the powerful combination of our SafetySmart products. And we believe it far exceeds the FlockOS capabilities in this area. I will add that this capability was completed in 120th the time using AI coding tools and is emblematic of the huge productivity gains we are seeing as we embrace our journey in becoming an AI-native company. We also continued to make meaningful progress in Q2 on the weapons detection space. As mentioned earlier, SafePointe scored a large campus transaction at an HBCU along with some selected expansion lanes with casino customers. Importantly, we continue to make progress in the sizable health care vertical which is expected to get even a further boost from California's AB 2975 statute, which mandates weapon screen capability at state hospitals to address workplace violence. A quick note on the New York political landscape. The recent primary win by assembly member, Zohran Mamdani, has triggered some understandable questions, but I want to be perfectly clear on three points. First and most importantly, we're in year 1 of a 3- year citywide contract that has two additional option years with NYPD. And while the NYPD contract does have termination for convenience clauses like most municipal contracts, the potential litigation costs and reputational damage makes a termination highly unlikely, short of the city going into extreme financial distress. Second, NYPD's operational footprint and priorities are distinct and data-driven. And because of their professional standing, NYPD maintained strong autonomy and operational decision-making and public safety infrastructure that helps them save lives, which enlists broad-based support across many communities. And finally, unlike the Chicago situation during the peak of the defund the police fad, there does not appear to be any specific political agenda pushing for a full-scale rollback of police technology tools like ShotSpotter. We'll continue to focus on execution, and we believe our ability to deliver life-saving alerts and critical crime intelligence helps us to be well-positioned independent of any political outcome. Now let me close by addressing the status of the Chicago gunshot detection RFP, which we bid on in April. We're gaining real traction in what we believe is one of the most consequential public safety RFPs in the country. We've cleared multiple competitive hurdles from being shortlisted to completing oral presentations, and we've now been invited to the live demo phase, frankly, a process that we invented over 10 years ago. This is a critical opportunity for us to showcase how far ahead we are in terms of accuracy, reliability, functionality and real-world performance at scale. And while no formal decision has been made, we are entering the next phase with growing confidence and a strong belief that our technology is unmatched and aligned with the City of Chicago's stated needs as reflected in their RFP. I would like to reiterate that our current outlook does not include any contribution from Chicago. Any potential engagement with Chicago, if it were to happen, would most likely contribute to 2026 results. As we move into the remainder of 2025, we'll continue to focus on driving deeper penetration in existing customer accounts, expanding to midsized and smaller municipalities and growing our non-ShotSpotter SafetySmart recurring software revenue, all the while delivering operational leverage as we scale. We're reaffirming our full year revenue guidance range of $111 million to $113 million and reaffirming our adjusted EBITDA guidance range of 20% to 22%. I will now turn the call over to Alan to discuss our financial results for the second quarter 2025 as well as guidance for the full year 2025 in detail. We'll then be happy to take your questions.
Alan R. Stewart: Thank you, Ralph, and good afternoon, everyone. As Ralph mentioned, we are pleased with our second quarter 2025 results, and they are primarily consistent with our expectations. Our financial performance reflects our ongoing strategic initiatives, operational efficiency measures and our commitment to delivering value to our shareholders. Revenues were $25.9 million, representing a 4% decrease from the $27 million in the second quarter of 2024. Note that our revenue was only 4% lower than the second quarter of last year, which included approximately $2.8 million in revenue loss for the nonrenewal of our contract with the City of Chicago as we continue to grow in all of our SafetySmart platform solutions. We did execute two NYPD contracts in the first quarter, which added approximately $3.5 million of catch-up revenue in that quarter. Gross profit was $13.8 million or 53% of revenue, compared to $16.1 million or 60% of revenue for the prior-year period. Gross margin was lower as expected, primarily related to additional maintenance of existing ShotSpotter deployments and expenses related to licensing of software for the NYPD as well as an expected delay of the execution of the associated sublicensing of a new NYPD contract of approximately $1 million per year. We expect to enter into the new contract in the third quarter of 2025 and also anticipate receiving catch-up revenue related to the additional cost of the revenues that were expensed in the second quarter of 2025. Our adjusted EBITDA was $3.4 million compared to $5.1 million in the second quarter of 2024, reflecting the delayed contract just mentioned above and the increase in the cost of revenues related to the additional maintenance as well as investments in enhancing our AI capabilities that Ralph discussed. As a reminder, adjusted EBITDA, a non-GAAP financial measure is calculated by taking our GAAP net income or loss and adjusting out interest income or expense, income taxes, depreciation, amortization and impairment, restructuring costs and losses, including on related fixed asset disposals, stock-based compensation expenses and adjustments to our contingent consideration obligations. Our operating expenses were $16.7 million or 65% of revenues, compared to $16.7 million or 62% of revenues in the second quarter of 2024. Our operating expenses for the second quarter declined from first quarter of 2025, but were relatively flat compared to the second quarter of 2024, even as we invest in AI modeling and tools to enhance the capabilities of our SafePointe platform solution. We also had a $0.6 million adjustment in the fair value of contingent consideration related to the SafePointe acquisition, which reduced second quarter 2024 operating expenses. As a reminder, we expect operating expenses will continue to grow less than the revenue growth rate even with our additional costs. Breaking down our expenses. Sales and marketing expense in the second quarter were reduced to $6.5 million or 25% of total revenue, compared to $7.3 million or 27% of total revenue for the prior-year period. Our R&D expenses were $3.7 million or 14% of total revenue, compared to $3.5 million or 13% of total revenue in the prior-year period, reflecting our increased expenses related to our AI investments. G&A expenses for the quarter were $6.5 million or 25% of total revenue, compared to $5.9 million or 22% of total revenues for the prior-year period. G&A expense increases were primarily related to additional internal and external efforts associated with compliance with our SOX 404(b) requirements. As a reminder, we expect our G&A expenses to grow less than our revenue on a percentage basis as our company grows. Our GAAP net loss was approximately $3.1 million or a loss of $0.25 per basic and diluted share for the quarter based on 12.7 million basic and diluted weighted average shares outstanding. This compares to a net loss of $0.8 million or a loss of $0.06 per basic and diluted share based on 12.8 million basic and diluted weighted average shares outstanding for the prior-year period. Deferred revenue as of June 30, 2025, was largely in line at $43.5 million compared to $45.4 million at the end of Q1 2025. We ended the second quarter with $9 million in cash and cash equivalents compared to $11.7 million at the end of first quarter 2025. As of today, our cash balance is over $16 million. We repurchased 31,570 of our shares at an average price of $14.84 and for approximately $0.5 million in the second quarter of 2025. Currently, we have approximately $21 million available on our line of credit as we have approximately $4 million in debt outstanding, all on our line of credit. As we enter the second half of 2025, we remain focused on execution and long-term value creation. We are encouraged by our pipeline visibility for the back half of the year, the strong renewal rate of our customer base, expanding strategic partnerships and integrations and our ability to generate consistent cash flow while investing for growth. Now turning to our guidance for the full year 2025. We are reaffirming our full year revenue guidance of $111 million to $113 million. We are also reaffirming our full year 2025 adjusted EBITDA margin guidance range of 20% to 22%, taking into account potential costs associated with tariff changes and the investments that we are making in AI modeling and tools that we are incorporating in our products and internal operational use. Finally, we are reaffirming our expectation for our annual recurring revenue, or ARR, to increase from $95.6 million at the beginning of 2025 to approximately $110 million at the beginning of 2026. As a reminder, this guidance is in spite of the loss of approximately $9.7 million in annual revenue from the nonrenewal of the contract with the City of Chicago in 2024. Overall, we are pleased with the progress we have made on each of our strategic initiatives and operational performance of the business. We are now ready to take your questions. Operator, will you please open the line?
Operator: [Operator Instructions] And your first question comes from Richard Baldry with ROTH Capital Partners.
Richard Kenneth Baldry: Sort of curious if you could talk about the SafePointe pipeline. I think you upgraded sort of the go-to-market packaging around that a quarter or 2 ago to finalize that. Has the market responded to that? And how do we think about the traction there?
Ralph A. Clark: Yes. This is Ralph, Rich. Thanks for asking that question. The SafePointe pipeline continues to be healthy and grow, focused on the verticals that we are targeting our resources to, primarily health care but also casinos as well. We're really keen around the opportunities in the state of California with the AB 2975 initiative there and have been doing some really interesting spade work with respect to getting engaged in that marketplace specifically. So we feel pretty good about the opportunity there for SafePointe.
Richard Kenneth Baldry: Then could you maybe talk a little bit about sort of international. You've hit on that in some prior quarters, how that's looking, developing, rolling out or building pipeline, et cetera?
Ralph A. Clark: Yes. So we're very excited about the recent developments in South America with our Montevideo opportunity there that's already expanded, doubled its footprint there, recently being deployed in Niteroi, Brazil is also very important to us in terms of expanding the opportunities in Brazil. I would say Brazil, obviously, a very big opportunity. We have some pipeline in Mexico as well. I think there's opportunities for us to expand our footprint in South Africa as well. But certainly having those reference sites in Latin America, South America is very important for us to continue to grow our business there in Latin America.
Richard Kenneth Baldry: And the post-quarter cash stepped up pretty substantially. Is that just seasonal receivable collections? Is there something else we should be thinking about?
Alan R. Stewart: Yes. This is Alan. And it is over $16 million as of today. So we continue to generate a significant amount of cash. A lot of that does have to do with the collection timing though. So it does get a bit lumpy at times, but we do still continue to generate a significant amount of free cash flow.
Richard Kenneth Baldry: Last for me would be, at the midpoint of your revenue guidance, it looks like you'd be up in the range of, call it, $2 million a quarter sequentially in the second half. How much of that would be go get, you still got to go close the contract and then deploy it versus what you think is essentially backlog, sort of how much visibility do you have into that second half sequential reacceleration?
Alan R. Stewart: Yes. So this is Alan. I'll start and then Ralph can add or correct. We have some things that are already committed to us by the sales team to get us pretty close to the numbers that we're talking about. Obviously, Q3 needs to be north of $27 million and Q4 north of that. One of the challenges might be some of the timing. We have some very large potential contracts. The timing of those can affect those. But ultimately, we're feeling really good about being able to get to that guidance and producing exactly what we are saying we can do.
Operator: And your next question comes from Eric Martinuzzi with Lake Street.
Eric Martinuzzi: Yes. With the exception of the Niteroi deployment in Q2, I was just curious if there are any themes common amongst the three new cities and the one new university that you signed up in Q2?
Ralph A. Clark: Not really. I mean it's kind of all the same. These are cities that are struggling with the issue of responding to and investigating gun violence. And we know we have a preeminent solution out there that's detecting and alerting on gunfire that we know gets not reported 80% of the time in most communities. We're obviously really excited about the New Orleans. New Orleans is a really big opportunity for us. I think the chief down there, Superintendent Kirkpatrick is a first-rate law enforcement executive. We know she's going to do -- her and her organization to do great things out there, and we're hoping that, that is going to help us be able to expand even more in the kind of that southeast -- southern eastern part of the United States. But generally speaking, these are kind of all the same thing. It's all about trying to get in front of the issue of gun violence that unfortunately continues to persist in too many of our cities and communities.
Eric Martinuzzi: As far as competitive landscape, any competitor popping up that you're beating consistently? Or is it kind of ad hoc?
Ralph A. Clark: Yes. So I'll jump in and Alan jump in and correct as appropriate. I mean so we do hear some noise about Flock and their Raven solution. We don't see them directly very much to be perfectly honest. I think it's the type of thing that we're a proven technology provider at scale, and so we're still feeling really, really good about our competitive position. We've done a number of things that we didn't actually get a chance to chat about in this earnings call around continuing to perfect the ShotSpotter solution. I'll maybe just spend a second talking about our new sensor platform, which is really sophisticated that now allows us not only to do the time of arrival, which we've been known to do. That's how we do the location accuracy. But now because we have multiple sensors, previous generation sensors maybe had two microphones on it. These new ones have like more than six or so microphones. So now we can do some really cool things around angle of arrival in addition to time of arrival, which gives us a great deal of precision and then frankly, also kind of sets us up for the thing that we talked a little bit about on this call around a perimeter-based solution to do more sniper acoustic gunshot detection where you're looking at the kind of bullet kind of coming into a specific area you're trying to protect. So slightly different than wide-area acoustic detection technology. And we think that's going to open up a pretty interesting TAM opportunity for us to protect critical infrastructure like substations, headquarters of large financial institutions groups as it turns out, embassies, forward operating bases and the like. So we're pretty excited about kind of moving that technology forward commercially and hopefully get some success on that, if not later this year, certainly early 2026.
Operator: [Operator Instructions] And your next question comes from Trevor Walsh with Citizens.
Trevor James Walsh: Just to maybe piggyback a little bit on that last topic of the new solution you have coming out around the sniper type of threat. Is that something that needs to piggyback off of existing infrastructure for ShotSpotter within the city or within the area? Or can that be its own self-contained type of deployment with all the same type of time lines, et cetera, that we would expect from a normal deployment of ShotSpotter?
Ralph A. Clark: Yes, it's its own implementation. And frankly, we don't imagine that our traditional public safety customers would be running towards this particular solution. I think this is much more of a specific use case around kind of critical infrastructure protection. So there, the buying centers are most likely very different than our traditional law enforcement buying centers. So as I mentioned earlier, focusing in on utility companies, which we know are at risk of having these armed attacks to kind of take down the electric grid that's a key target for us, along with embassies. Maybe there's some commercial property campuses and likes. Certainly, we have this one particular opportunity in New York City with a very large financial institution group headquarters there that originally came to us because they weren't aware of a sniper-based solution. They came to us around our traditional ShotSpotter deployment. But when we're talking to them about the work we're doing with this perimeter-based solution. We got been pretty kind of excited about kind of giving them a two-for-one, a hybrid solution that has both, I'll call it, the wide-area detection capability or dome of protection and then very specific sniper-based perimeter solution that could detect incoming sniper-based fire that you would use to protect your major ingress, egress points.
Trevor James Walsh: Great. Super helpful. And actually, tees up my next question maybe for Alan as just a quick follow-up on that same topic. Given that it's a '26 priority or maybe more '26 type of influence, I guess, around the model. Are you anticipating any additional sales teams or kind of motions -- head count additions effectively to kind of go after that opportunity? Or can you just fold that in what the current team kind of as is?
Alan R. Stewart: That's an excellent question. And we're folding it in with the current team. In fact, we've already done the majority of all the work to develop the solution already using the current team. And I think that's also -- it's a great question to talk about sort of how we're doing on our OpEx. And our OpEx is down $1 million from Q1, and we're expecting our OpEx not just on the sales and marketing, R&D for development stuff, to stay flat, pretty much flat throughout Q3 and Q4 for the rest of the year. So we don't need to add a significant amount of capability to do that, and we don't expect the cost to be more than we're already incurring.
Trevor James Walsh: Great. Maybe just a couple more then quickies for me, and then I'll pass the line. Just -- did you say $2.8 million revenue headwind in the quarter associated with the City of Chicago? And then secondarily for that large SafePointe implementation, is that -- I would imagine the kind of rev rec from that will probably need to proceed a little bit later in the year as you get to deployment. So is that factored into the guide? Or is that going to be upside once you get that project, in particular, up and running?
Alan R. Stewart: Yes. So this is Alan again. The Chicago, we did mention the $2.8 million that was in the Q2 of '24 revenue. The fact that we only went down 4% is because we added almost $2 million of revenue from other of our solutions in our SafetySmart platform. In terms of the actual SafePointe, what we didn't really give you more details on was it was actually about a $2 million booking related to that, but it's a multiyear type of a booking. So that is going to produce revenue for the next couple of years. But we have other things in our pipeline that we hope to see very similar things.
Ralph A. Clark: Yes. But if I can add just an -- excellent point, Alan. To answer the question, that's very much in our guide. We wouldn't count that as upside. We're expecting that, and that's in our guide for the year.
Alan R. Stewart: Correct.
Operator: Your next question comes from Jeremy Hamblin with Craig-Hallum Capital Group.
Jeremy Scott Hamblin: And I want to start by coming back to the Chicago RFP. And just understanding the potential timing of when you think you might hear back from the city. You mentioned the short-list. Can you remind us how many companies are on that short-list at this point, I think five or six. But any more color you might be able to share on when you expect to hear back on that one?
Ralph A. Clark: Yes. So thanks, Jeremy. This is Ralph. So we really don't know the number on the short-list. We do believe, I think there were eight or so respondents to the RFP. Our suspicion is, again, we don't know this for a fact, but it feels like they've pulled that list down to maybe half, maybe four or so, but that's to be determined, I guess, we don't have a definitive point of view on that. And with respect to timing, it does feel like we're kind of getting to the end of the process, kind of certainly being notified that we made the short-list and then being invited to participate in an oral presentation, which we did, I think, about a month or so ago and now being invited to participate in a live fire demonstration that will take place some time in the month of September, it feels like they're getting the information they need to be able to make a decision. But again, they haven't been explicit with us about what the exact timing looks like, but it does feel like we're making really, really good progress.
Jeremy Scott Hamblin: Great. That's super helpful color. And then I just want to make sure to understand the details here around the NYPD contract and the sublicensing, the catch-up revenue and the expenses associated with it. Alan, can you just remind us here of the dollars that were deployed in terms of expense costs, and then how do you recapture some of that here in Q3?
Alan R. Stewart: Sure. Yes. The actual dollars, and this would have gone into COGS, was about $400,000, and it will be about that per quarter. The actual revenue is slightly lower. It's only about $250,000 per quarter, but that is because what we did is this used to be a solution that was provided by another vendor that we are now providing it, and we're actually saving, what we're giving them is about 23% commission, which was over $3 million a year, which we now no longer have to pay. So even though it looks like you might be losing a little bit on the actual subscription, overall, we're saving significantly across the board in the entire income statement.
Jeremy Scott Hamblin: Got it. And then I want to come back to the teaser there on the CrimeTracer. I think you mentioned that you have a little bit of a push out in terms of a deployment that you expect to get, I think you said $2.5 million booking. Can you give us an update on -- is that something that you expect to come here in Q3? Or is that something that might get pushed to Q4?
Ralph A. Clark: Yes. I would conservatively say Q4, but we're working really hard to bring it into Q3. It's an identified need. There's budget for it. There's certainly a lot of movement taking place to kind of go through the bureaucratic process to kind of execute a deal. The ARR is approximately $2.4 million. If I said $2.5 million, I actually meant to say $2.4 million. Hopefully, I said $2.4 million. And it's a deal very similar to what you've seen us do on a statewide basis, both in the state of Tennessee as well as the state of Massachusetts with Massachusetts State's police, but you can think of it as a very large kind of coverage area kind of aggregating a bunch of CJIS data for an [ affinity, ] not quite a state, but something close to a state that they're going to be using in a really interesting intel-based way. So we're pretty excited. We think this opportunity is replicatable across some other opportunities as well. There's, I think, public acknowledgment that the state of New York is looking at something similar to this that I think a lot of people are around trying to wait for an RFP coming out of the state of New York for kind of a similar kind of intel-based solution that CrimeTracer can address.
Operator: And we have reached the end of the question-and-answer session. I will now turn the call over to Ralph Clark for closing remarks.
Ralph A. Clark: Great. Thank you very much. And thank you to everyone who joined us today, and thank you to my SoundThinking colleagues, our clients and our partners for your support. SoundThinking remains committed to making communities safer through technology, transparency and collaboration. We're clearly focused on maximizing shareholder value and appreciate your time and support of the company. I'd also like to encourage each and every one of you to read our fourth annual ESG report, if you haven't done so already. We have it published -- we published it in June, and it's available on our Investor Relations website. So thank you very much again.
Operator: This concludes today's conference. All parties may disconnect. Have a good day.